Operator: Good afternoon, ladies and gentlemen, and welcome to the Linamar Q1 2024 Earnings Conference Call. At this time all lines are in listen-only mode. Following the presentation we will conduct a question-and-answer session. [Operator Instructions] This call is being recorded today Wednesday, May 8, 2024. I would now like to turn the conference over to Linda Hasenfratz, Executive Chair and CEO. Please go ahead.
Linda Hasenfratz: Thank you. Good afternoon everyone, and welcome to our first quarter conference call. Joining me this afternoon are members of our senior team, Mark Stoddart, Dale Schneider, Elliot Burger, Kevin Hallahan, and some members of our corporate IR, marketing, finance, and legal teams. Before I begin, I'll draw your attention to the disclaimer that is currently being broadcast. I'll start off with a high-level review of the quarter. Q1 was an excellent quarter and a strong start to what looks to be another solid year for us at Linamar. Financially, we once again have delivered double-digit top and bottom line growth for the quarter. And on a 12-month basis, I'm very pleased to report that we have exceeded $10 billion in annual sales, a goal that we set for ourselves way back in 1999 when we were approaching $1 billion in sales. What an exciting milestone to achieve. I am so proud and grateful to our incredible team at Linamar to have made that happen. Strategically, we also achieved a milestone with the completion of our Bourgault acquisition announced late last year. Integration has begun, and we are very excited to welcome the Bourgault team to the Linamar team. Markets are flat to modestly growing this year, but market share growth in both segments is driving record sales in the quarter. And finally, on the innovation and new business side, we are seeing continued new business wins in the balance of technology and propulsion areas, and new award-winning innovations getting market attention. Let's take a closer look at each of these areas, and we'll start with the financial results. Sales for the quarter hit a new record of $2.72 billion, up 19% from last year on solid launches, market share growth, acquisitions as well as better pricing. Normalized EPS for the quarter was up 31% to $2.59, which is outstanding and net normalized margins expanded to 5.9%. Organic earnings growth was also at a strong double-digit level. I think it was particularly notable to see the solid performance of the Mobility segment this quarter with normalized OE growing a fantastic 58% and margins improving meaningfully to 6.2% after a challenging few years. Some of the key factors impacting results in the quarter were the 2023 and 2024 acquisitions in both Mobility and Industrial segments, both contributing to our results this quarter. Launching business and better pricing in the Mobility segment is also driving great sales and earnings growth. Our agricultural businesses are performing strongly in the quarter. Notably at MacDon, Q1 I will also note is normally Salford's strongest quarter seasonally. And finally, additional launch costs, higher SG&A and fixed costs supporting growth are offsetting growth in all these areas as would be expected in a growing business. It's great to see the continued positive trend in our financial results over the long term. We continue to be on track for a new record level of earnings performance for 2024. Turning to the balance sheet. We see a similarly positive performance. Our balance sheet has remained consistently strong despite higher acquisition activity and a resumption of more normal CapEx spending after a couple of light spending years during COVID. Net debt is sitting at $1.83 billion at the end of Q1, which is 1.24 times EBITDA, up from year end and last year at this time. Our 3 acquisitions impacted our leverage levels in comparison to both periods. We are still well below our goal of staying under 1.5 times EBITDA even with our higher-than-normal spending. We expect to be back under 1 times EBITDA within 12 to 18 months. We saw a small negative in free cash flow in the quarter of $39.3 million as we normally do in the first quarter of the year with this big jump in sales in AR. We expect to see subsequent quarters this year positive in terms of free cash flow to finish the year overall strongly positive. We also expect 2025 to see strongly positive free cash flow. CapEx is higher than Q1 last year, but down from high seen over the last few quarters. CapEx as a percentage of sales was 7%, right in line with the normal range of 6% to 8% to drive double-digit growth. We expect CapEx to continue to moderate somewhat in dollar terms compared to last year and end up at the low end of our normal range of spending as a percent of sales for the year. Next year, we'll see us again at the low end of our normal range of 6% to 8% to drive continued double-digit growth. Turning to strategy and operations. We had a few notable items, including the grand opening of our new Skyjack facility in China with great support from local government and customers, and of course, the completion of our acquisition of Bourgault Industries on February 1. The integration is underway and is progressing very well. I'd like to take a minute again to remind you of the powerful synergistic diversification model that Linamar has developed. We have two key businesses as you know, Mobility and Industrial. The Mobility business is very large and global with excellent technology systems and a deep talent pool. There are significant growth opportunities for this business, which is capital intensive. The Industrial business is more regional with a stronger presence in North America, but less purchasing power than our Mobility segment. That said, they have low CapEx requirements, making them a good generator of cash. They also do an excellent job of managing their various brands of Skyjack, MacDon, Salford and Bourgault, and have excellent global growth potential. So here's how it works. The Mobility group helps improve the performance of the Industrial group by supplying talent, system expertise, a global network to ensure global growth and significant purchasing power to improve profit and cash flow. The Industrial group then provides much needed cash for investment to the Mobility segment as well as knowledge around effective brand management. It is a unique model, but it works exceptionally well to help us drive strong and consistent profitable growth, positive free cash flow and all the while maintaining a strong balance sheet. You don't need to take my word for it that this model drives consistent, sustainable results. You only need to look at our track record. Year in and year out with very few exceptions we are delivering top and bottom line growth. The strong majority of those years, as denoted by the star in the green box, is double-digit growth as well as free cash flow and double-digit return on capital. Return on capital has been in double digits 93% of the last 14 years, every single year, but one and that exception being 2020, the peak year of pandemic. And we have generated free cash flow 11 out of the last 14 years, every single year for the last 11 years, and we do expect to grow again in 2024. We are very proud of this track record of performance and it is one that we intend to continue to deliver on. Turning to markets and market share. I would say we've had a very successful quarter, again in terms of growing our market share. As just shown, Linamar has a great track record of growth, often in the double-digit range. We achieved this year in and year out by growing market share. When markets are flat or declining, growing market share offset market conditions to allow growth to continue. In the Mobility business, we saw growth in content per vehicle in every region globally in the quarter with North America getting a new quarterly record level. In the access market, we increased global market share in scissor lifts, our largest product family at Skyjack. And in the agricultural market, we saw excellent market share growth for our core combine draper headers, which is our largest product family at MacDon. You can see here summarized market data for 2024 and 2025. On the Mobility side, we're looking for flat production globally this year with industry expectations of 16 million, 17.5 million and 51.7 million vehicles produced in North America, Europe and Asia respectively. This represents a plus or minus 2% change depending on the region. Next year, we expect to see modest market growth in most regions. The big story this year in the Mobility business continues to be the dial back on battery electric vehicles in favor of more traditional internal combustion and hybrid electric vehicle model. Linamar's flexible strategy is securing business in every type of propulsion and utilizing flexible equipment that can shift from one type of product to another is very helpful in this more volatile production environment. On the access side, industry experts are predicting flat markets in the access industry globally this year, plus or minus 1% to 2%, depending on the global region and product. Booms are the only product seeing modest growth in all regions, which is the key area of market share growth for us. Our backlog at Skyjack is strong and remains ahead of historical norms as we work to fill customer orders. With reasonably stable markets and predicted market share growth, we feel confident we can again grow Skyjack in double digits this year. Next year, markets will see moderate growth resumed, helping Skyjack to continue its growth path. We see the flat 2024 as a resettlement period post COVID growth as opposed to the start of a downward cycle. We expect the following years to return to more conservative and historic growth pattern with a change from fleet growth to fleet replenishment. In North America, rental companies remain bullish about manufacturing activity on the back of the Inflation Reduction Act, onshoring and a large number of mega projects to extend beyond '24. In China, after a flat '24, we see growth returning. And while it may not be at recent historical levels, it does represent a significant volume opportunity. On the agricultural side, industry expectations of flat markets for the combined draper header market this year in North America with declines in other parts of the world. The windrower market will also see fairly flat global markets this year. Nevertheless, the order book remains strong for MacDon. Orders for combined drapers, our largest product family, are ahead of orders at this point last year. Salford products and tillage and crop fertilization equipment more aligned to the high horsepower tractor market has also seen flat to down markets this year on a global basis. Our current forecast is for mid-single-digit growth for MacDon and Salford combined this year. Finally, the order book for our new Bourgault business is consistent with historical levels and looking for a stable year in terms of performance. As a reminder, this business runs at about $450 million in annual revenue, and we acquired it as of February 1 this year. The combination of growth at MacDon, Salford and our new business Bourgault will result in double-digit growth for our agricultural business this year. Next year, markets will again be flat to down. With market share growth globally and cross-selling opportunities, we expect to see moderate continued growth for our Ag business in 2025 at a more muted level given market conditions. We saw another quarter of solid market share growth in our Mobility business with global content per vehicle up over last year. All three regions saw content per vehicle growth on launching business and North America has reached a new quarterly high of almost $295 of content per vehicle. As noted, we're growing market share in key products and regions within our Industrial segment businesses. Here, you can see the MacDon global draper headers market share, which is on a solid upward trend, reflecting the continued adoption of MaDon flex draper technology over legacy Auger headers on a global basis. Turning to innovation and new business. We've seen another strong quarter in wins for the Mobility business. The wins are a great balance of propulsion-agnostic components and powertrain products for a variety of propulsion types in alignment with our strategy to maintain strong content potential and sales exposure to each. In our access business, our micro scissor program rollout continues to generate positive market reaction. And in our Ag business, we have had two new innovative product launches. Some interesting Mobility wins in the quarter were for propulsion-agnostic structural components, including knuckles and housing and some great wins for gears and differentials for ICE and hybrid vehicles. With respect to our launch book, we're seeing ramping volumes on launching programs which are predicted to reach 30% to 40% of material levels this year, generating incremental sales of $600 million to $800 million. Next year, we will see another $700 million to $900 million of incremental sales as volumes on these programs continue to ramp up. The programs will peak at nearly $3.4 billion in sales. I'll note nearly $200 million of programs moved from launch to production last quarter. You can see here the split of Linamar's business once we get out into the 2028 time frame as a result of all of those launches. But again, a good blend, a propulsion-agnostic which together basically anything for the driveline body and chassis systems as well as electric vehicle powertrain and ICE powertrain driving out of this good mix of business wins. Close to 40% of business in 2028 is propulsion-agnostic, 50% is powertrain with a split about one third to EV and two third to ICE within that. I think this is a good position to be in to weather potentially shifting market adoption of different technologies, have a solid chunk of propulsion-agnostic business, a good blend of powertrain for different forms of propulsion. As time goes on, the proportion that is EV powertrain will naturally grow as these vehicles become more prominent. In 2028, there will still be plenty of ICE vehicles, hence the heavier ICE powertrain focus in sales at that time. That will shrink over the ensuing 5 years to become more and more hybrid electric and battery electric and ultimately fuel cell electric powertrain concentration in alignment with the market. Flexibility and a wide range of platform coverage is the name of the game during the next decade as the Mobility market transitions. In fact, flexibility is really the key to managing any major transition of technology. No technology adoption will be a straight line. There's always going to be ups and downs just as we're seeing now on the EV side of the dial back in the market. At Linamar, we've always believed that our levels of flexibility should directly correlate to levels of uncertainty. There will be uncertainties with respect to timing and volumes of different vehicle platforms over the coming years. That means we need to stay as flexible as possible. We've done that in a few really important ways. First, we created a product portfolio with equal potential for any type of vehicle propulsion. Next, we try to ensure we have content across a wide variety platform to optimize sales potential based on market demand. And finally, we have maximized the use of flexible equipment wherever possible to shift capacities between programs based on market demand. We can, in many cases, use the very same equipment for components we're making for electric vehicles to use for ICE vehicle components and vice versa. This flexibility is key to ensure we minimize underutilization of assets. In fact, 84% of our assets in our Mobility business are flexible and can be reallocated to a different project, whether internal combustion, hybrid electric, battery electric or fuel cell electric. That kind of flexibility is key to managing this transition. Also key are the commercial terms that we agree to with customers. We must be more commercially astute in terms of contracts, commitments and expectations as suppliers have typically been in the past with our OEM customers. Be assured we are doing all of this in order to successfully navigate and take advantage of opportunities that will come in these transition years in the Mobility industry. And of course, our growing Industrial business continues to help insulate us as well from being too exposed to any one industry. In fact, over half of our earnings are coming from our Industrial businesses. Turning to this quarter's innovation update. I'd like to first highlight an example of the Linamar structures group light-weighting capabilities. Here, you can see an FTA semi-trailing arm casting design that we produced in our newly acquired Mobex site. This component goes into a battery electric vehicle light truck application. Originally, the engineering team at our OEM customers didn't believe that the aluminum casting is feasible for this application and thought they would need to make it in cast-iron. Our engineering team was able to deliver a lightweight design in aluminum, using vacuum modulates and pressure modulates casting processes that saved nearly 9 kilograms of weight per vehicle. The design was recently recognized by the American Foundry Society for the best-in-class award in its annual Casting of the Year competition. Next at Skyjack, our new micro scissor models have officially launched. These scissor models fill a segment at the low end of product range with working heights of 13 and 19 feet. The new models are pure electric drive and their micro footprint allows them to operate in tight workplaces and even navigate into elevators. The micro category within the overall scissor lift market has been a growing segment in the past few years. This Skyjack offering provides a leading product to now better invested. At MacDon, their new R1 FR model was launched to the Ag market on March 1. The Front Mount Rotary Disc Series is a new mower conditioner that can mount to the front of a tractor. The new model expands upon our current rotary header portfolio and enables farmers to double their productivity when paired with the existing full-type R1 mower conditioner. Another innovation focused on in-field performance from MacDon, the industry's harvesting specialists. And lastly, you get a further sense of the type of technology leadership we acquired through Bourgault from this example, the XR8 series, eXtended Range Harrow cover a lot of ground up to 130 acres per hour, in fact was in the availability in both 90 and 110-foot width. All settings and functions can be fully controlled from the cab of the tractor. The XR series offers exceptional performance even into conditions with top yield revenue and extreme contours. The XR Harrow helped spread crop revenue to better prepare for next year's planning. Another example of how Bourgault is pursuing perfection. Let's turn to a summary of our outlook. As I've already noted, we expect to see double-digit top line growth in both our agricultural business and Skyjack, and therefore the Industrial segment as a whole in 2024 and continued growth in 2025. We are expecting to see high single-digit to low double-digit top line growth in our Mobility segment for 2024 based on launches of $600 million to $800 million this year, and current market production expectations. 2025 will see continued growth based on further launch ramp-up of $700 million to $900 million and the market growth that's expected for next year. Growth in both segments will lead to double-digit top line growth for Linamar overall this year and continued growth next year. Net margins will expand again in 2024 on growing sales, driving mainly at a meaningful margin expansion in the Mobility business, as you have already seen delivered in Q1. The Industrial segment will continue to perform in its normal 14% to 18% range, again as already seen in the first quarter of the year. 2025 will see the Mobility segment margins expand further and back into our normal 7% to 10% range. And the Industrial segment will continue to perform in its normal 14% to 18% range. This will mean strong double-digit growth in Mobility segment OE this year and another year of double-digit OE growth in the Industrial segment as well, which, of course, will drive strong double-digit EPS growth for us overall as well. For 2025, expect another year of strong double-digit earnings growth in the Mobility segment and continued growth in Industrial for an overall expectation of continued double-digit EPS growth for us in 2025. CapEx will be down in dollars from a very robust 2024 level of spending and at the low end of, -- sorry, 2023 level of spending and at the low end of our normal 6% to 8% of sales. Next year, we'll also see spending at the low end of our normal 6% to 8% of sales, which, of course, is what drives our double-digit growth. We expect strongly positive free cash flow this year and next year, leaving us in an excellent position from which to drive further growth. Looking specifically at Q2, you should expect double-digit top and bottom line growth in comparison to prior year with only margins up compared to last year as well. The Mobility segment will see double-digit sales and OE growth to prior year, driving from the 2023 acquisitions, launching business and continued impact of customer cost recovery. I will note that the EV dial-back, as it's known today, has been considered in this guidance, but is, of course, a fluid situation that we're keeping an eye on. The Industrial segment will see double-digit sales and OE growth to last year, thanks to a full quarter forego and continued growth in both the underlying agricultural and Industrial businesses. With that, I'm going to turn it over to our CFO, Dale Schneider, to lead us through a more in-depth financial review. Over to you, Dale.
Dale Schneider: Thank you, Linda, and good afternoon, everyone. As Linda noted, Q1 was an exceptional quarter as we achieved double-digit sales growth at 18.7% and net earnings growth of 52.6%. Mobility margins continue to expand from both Q4 and Q1 '23 levels. Q1 was also another strong liquidity quarter at $1.3 billion. For sales in the quarter, sales increased 18.7% to a new record of $2.7 million. Earnings are normalized for FX gains or losses related to the revaluation of the balance sheet and potentially other items that may have occurred in the quarter. In the quarter, earnings were normalized for an FX gain related to the revaluation of the balance sheet, which impacted EPS by $0.31 per share. Normalized operating earnings for the quarter were $243.8 million. This compares to $175.8 million in Q1 '23, an increase of $68 million or 38.7%. Normalized net earnings increased $37.9 million or 31.1% this quarter to $159.6 million. Fully diluted normalized EPS increased by $0.61 or 30.8% to $2.59. Included in earnings for the quarter was a foreign exchange gain of $24.9 million, which resulted from a $25.4 million gain related to the revaluation of our operating balances and a $500,000 loss from the revaluation of our financing accounts. As I mentioned, the net FX gain impacted the quarter's EPS by $0.31. From a business segment perspective, the Q1 FX gain of $25.4 million related to the revaluation of operating balances with a result of a $19.5 million gain in Industrial and a $5.9 million gain in Mobility. Further looking at the segments, Industrial sales increased by 24.5% or $143.6 million to $728.6 million in the quarter. The sales increase for the quarter was primarily due to the additional sales from the first two months of results from the Bourgault acquisition and the substantial increase in agricultural sales driven by global market share growth on drapers. Normalized Industrial operating earnings for Q1 increased $22.7 million or 23.3% over last year to $120.2 million. The primary drivers impacting Industrial earnings were the increased contribution from the significant increase in agricultural equipment volumes, the increased contribution from the acquisition of Bourgault, which were partially offset by increased launch costs related to new facilities for Skyjack in Mexico and China and also from increased SG&A costs that are supporting our growth. Turning to Mobility. Sales increased by $285.6 million or 16.7% over Q1 last year to a new record of $2 billion. The sales increase in the first quarter was driven by the additional sales from our Linamar Structures acquisitions in 2023, increased volumes on launching in certain mature programs, plus the customer cost recoveries achieved in the quarter, which were partially offset by the lower volumes of certain programs that are nationally winding down to end of life. Q1 normalized operating earnings for Mobility were up 57.9% over last year at $123.6 million. In the quarter, Mobility earnings were impacted by the added contribution related to the Structures acquisitions last year, the increased contribution from the higher volumes on launching certain future programs, the customer cost recoveries achieved, which were partially offset by lower volumes on ending programs and the increased SG&A costs that are supporting the growth in this segment. Turning to the overall Linamar results. The company's gross margin was $393.2 million, an increase of $92.7 million compared to last year and was due to the same factors that drove the segment results. COGS amortization expense for the first quarter increased to $139.2 million compared to Q1 2023, mainly due to the acquisitions in 2023 and 2024 related to Linamar Structures and Bourgault in addition to launching programs. COGS amortization as a percentage of sales, though, remained relatively flat at 5.1%. SG&A costs increased in the quarter to $151.7 million from $124.7 million last year. The increase is primarily a result of the incremental SG&A costs from the acquisitions related to the Structures group and for Bourgault. Additionally, we also had increased management and sales costs that were supporting the growth. Finance expenses increased $19.7 million since last year, primarily due to the private placement notes issued in June 2023 to fund the Linamar Structures acquisitions, the new term credit facility used to fund the Bourgault acquisition, the added interest expense related to leases acquired as part of the Structures acquisitions, and additional interest expense due to the Bank of Canada and the U.S. spend rate increases compared to last year. Consolidated effective interest rate for Q1 was 5.2%. Effective tax rate for the first quarter decreased to 24.4% compared to last year, primarily due to the Q1 2023 withholding tax impact, which did not reoccur this year related to the repatriation of cash from China. Also, the more favorable mix in foreign tax rate, these were partially offset by an increase in nondeductible expenses compared to last year and an increase in unused tax losses that have not been recognized as a deferred tax asset yet. The Q1 effective tax rate was 24.4% and was within our range of 24% to 26%. For 2024, the full year effective tax rate is expected to be in that range as well, 24% to 26%, and is currently expected to be similar to the '23 full year tax rate of 25.6%, which is before the impact of the '23 China withholding tax. Linamar cash position was $787.2 million on March 31, an increase of $133.9 million compared to December of 2023. The first quarter generated $150.1 million in cash from operating activities, which was used primarily to fund CapEx. The net debt-to-EBITDA increased to 1.24x in the quarter from a year ago, mainly due to the acquisitions in '23 of Linamar Structures and the acquisition of Bourgault in Q1 of this year. Based on our current estimates, we're expecting 2024 to maintain our strong balance sheet, and we're expecting to deleverage under 1x in the next 12 to 18 months. The amount of available credit on our credit facilities was $522.9 million at the end of the quarter. Our available liquidity at the end of Q1 remained strong at $1.3 billion. As a result, we currently believe we have sufficient liquidity to satisfy our financial obligation throughout the year. To recap, sales and earnings for the quarter was a story of improving performance in both segments, which drove double-digit sales growth of 18.7% and normalized EPS growth of 30.8%. The Industrial segment continued to grow sales significantly by 24.5%. Mobility achieved a new record for sales of double-digit sales growth over last year in addition to continuing to expand the normalized margins to 6.2%. Additionally, Q1 had strong liquidity levels at $1.3 billion. It was a great quarter for outperformance in both sales and earnings while maintaining our strong balance sheet. That concludes my commentary and I'd now like to open up for questions.
Operator: Thank you. [Operator Instructions] Your first question comes from Jonathan Goldman from Scotiabank. Your line is now open.
Jonathan Goldman: Good evening and thanks for taking my questions. So the first one, a significant step-up in the Mobility margins quarter-on-quarter. Can you discuss the underlying drivers of the performance and whether Q1 margins are the appropriate starting point going forward, obviously outside of the typical seasonality?
Linda Hasenfratz: Yes, absolutely. Yes, we did see a great recovery in the Mobility segment, both in terms of looking at same quarter last year as well as last quarter. Key drivers are, of course, acquisitions that we made last year, the impact of launching business, negotiated price release to offset higher costs that we were experiencing last year also starting to be realized, so all of that was a factor in the higher earnings and in the higher margin. With respect to the rest of the year, I think that Q1 Mobility margin level is probably a reasonable proxy for the year for down a little depending on the quarter.
Jonathan Goldman: Okay. That's great color. And maybe switching to Ag, just a couple here, how is Bourgault performing relative to your original expectations when you originally announced the acquisition?
Linda Hasenfratz: Yes. I mean it's performing well. As I say, it's running at expected levels of sales. The integration is going very well, so meeting expectations.
Jonathan Goldman: Perfect. And then I guess one more on Ag, second quarter in a row now that you called out share gains and combine drapers. I mean can you elaborate on the drivers of those gains? And do you expect that momentum to continue through the balance of the year?
Linda Hasenfratz: Yes. I mean growing our market share in all of our Industrial businesses is a key strategy, both in terms of products, expanding our product line as well as global expansion, so selling more of these products on a global basis. So I mean that's exactly what we're seeing with MacDon. We're seeing great adoption of their drapers in global markets. So that's a key driver of their market share growth and they continue to have very strong market share in North America as well.
Jonathan Goldman: Now that's great to see. Thanks for taking my questions.
Operator: Your next question comes from Krista Friesen from CIBC. Your line is now open.
Krista Friesen: Hi congrats on the quarter, very strong showing, especially in Mobility, great margins there. I was just wondering if you can speak to how we should think about the cadence of margins through the rest of the year and maybe if this level is sustainable and if there's upside from here?
Linda Hasenfratz: Yes, I think that the Q1 Mobility margin level is a reasonable proxy for the year. It might be up or down a little, depending on the quarter, but I do think it's sustainable.
Krista Friesen: Okay, great. And then maybe just on Skyjack. You're clearly seeing a lot of growth there and expect to see continued growth and I believe some of that is through the geographic expansion and product line expansions. Can you speak to how things are going with the geographic expansion and what other countries you might be focused on?
Linda Hasenfratz: Yes. I mean as you know, we've built two new facilities for Skyjack, one in Mexico to better serve the southern part of the U.S. and 1 in China to take advantage of an exciting market there. So that is definitely part of what's driving our growth at Skyjack. I think also the China facility gives us better access to the Asian market overall, just from a logistics perspective. We're a lot closer to market, for instance, to Australia or other points within Southeast Asia than we are from North America. So that makes us a lot more competitive in those markets. So I think we'll see some great growth there as well.
Dale Schneider: Yes. And Krist, just to elaborate, definitely for us with the Mexican operation, getting the telehandler production move down into there has been going quite well. We've now got product coming out and as Linda said, really servicing that source Southern U.S. from a logistics side of things. I mean, the product doesn't ship well. So we're able to get the product in for good logistics costs. And really, China is the expansion for the Asia Pacific area. Again, just on the product shipping, logistics is the big issue and now being there manufacturing in the region is much better.
Krista Friesen: Great. And maybe if I can just ask one more. Just wondering what sort of interest you're seeing on the Giga casting plant. I appreciate that it's not opening until next year, but just wondering what you're hearing from some of the OEMs there?
Linda Hasenfratz: Yes. We're seeing interest from several different potential customers in the technology, both for the facility here and we also have a machine in place in Europe at the moment as well where we're doing some initial testing. So there's a potential, in Europe potentially as well.
Dale Schneider: And we're also seeing customers sort of change their strategy around Giga castings, and we've had meetings with customers that a year or a year and a half ago felt that the strategy of utilizing the large castings wasn't in their product mix, and that seems to be shifting now. I think they're starting to realize the benefits of it and also just seeing what their competition is doing.
Krista Friesen: Perfect. Thanks so much. I'll jump back in the queue.
Operator: Your next question comes from Brian Morrison from TD Cowen. Your line is now open.
Brian Morrison: Thanks very much and good evening. Credit where due. Well done, nice beating the race. Can I ask a question on Mobility? So what has changed to take the Mobility margin to meaningful expansion from expansion? And then to take it one step further, what gets you back to 7% in 2025? Is it margin increments from volume and then the maturation of acquisitions?
Linda Hasenfratz: Yes. I mean, as you've seen, we did see a meaningful expansion on the margin side. So I think that's an appropriate way to describe the performance of Q1 and where we expect the rest of the year to be. Again, the key drivers are acquisitions made last year, launching business, negotiated price release that's offsetting those higher costs that we were seeing last year. When I look out to 2025, I do expect further expansion on the Mobility margin side and really that's driving out a continued launch rollout. So as noted, we have another significant increment up in terms of incremental sales from launching business, so all of that helps to drive better margins.
Brian Morrison: Okay thanks. But maybe I can ask it another way. Are the contributions from Dura and from Mobex, are they margin enhancing or is that a tailwind as they ramp and mature?
Linda Hasenfratz: So I mean, it's a combination of margin enhancing and some business that's launching. So even within those businesses, some plants are still ramping up. Others are more mature. So it's a combination that acquisition is absolutely, as a whole, did help on the margin side.
Brian Morrison: Okay. And then, Linda, the increased pricing on cost recovery not in the prior year, is this a permanent pricing mechanism for inflation or should we think about it as onetime?
Linda Hasenfratz: Well, I mean, this is related to much higher cost that we were seeing last year that we've had discussions with customers around how we can deal with. So it is a combination of piece price increases, sometimes some onetime increases as well or onetime settlements as well. But as noted, we do expect margins to stay in this range for the year. So obviously this is not all lump sum.
Dale Schneider: Yes, I would add to that. Brian, keep in mind, 2023 was similar to 2022, where we are absorbing costs increase basically in the first half as we're negotiating with customers. We started to get those recoveries in the second half, and this is just a carryover to get those 2023 recoveries. So it's a very similar pattern that you would have saw in 2022.
Brian Morrison: Okay, thank you Dale. And then Industrial, is the launch and the move costs to Mexico and China, are they complete? And did they actually impact the operating margin this quarter?
Linda Hasenfratz: I mean, in fact, the plants in China and Mexico are still ramping up. So there are some launch box related to those facilities that actually were offsetting some of the earnings growth on the Industrial side. So we expect to see that settling down once we get into next year.
Brian Morrison: Okay. And then last question from me. Bourgault and maybe this is for Mark. Is the margin below that of the group upon acquisition? And then as you go through the integration, are you finding more procurement synergies within the segment or across segments as well?
Linda Hasenfratz: Yes. Well, I'll just comment on the margin side and then Mark can comment on the cross-selling. So margin-wise, they are in the range of our normal industrial segment, I would say, on the lower end of the range. But we see lots of opportunity just as we did with Salford and MacDon and frankly, Skyjack before them, opportunity to help enhance profitability through supply chain management, purchasing, to money lean systems, et cetera. So that's a big part of what of our overall strategy, as I was describing earlier, of bringing those lean systems and purchasing power and supply chain management capabilities to the table to improve profitability of acquired businesses and cash flow.
Brian Morrison: Okay. I guess, in terms of procurement opportunities, Mark?
Mark Stoddart: Yes. As we talked about putting together the Linamar Ag group with MacDon, Salford and Bourgault now, we're definitely looking at utilizing the purchasing within all 3 groups to commonize parts and suppliers. So with Bourgault just coming on in February, that's still ongoing. But we definitely see a lot of opportunities for cost savings for the Industrial ag side and also maximizing the 3 brands from a product side. So a lot of that activity is just in the works now with Bourgault being finalized at the beginning of February.
Brian Morrison: All right. Thank you for the color and congratulations.
Linda Hasenfratz: Thanks so much.
Operator: Your next question comes from Michael Glen from Raymond James. Your line is now open.
Michael Glen: Hi good evening. Just a starting question just on input cost on the Industrial business, like how have you seen input cost trend there over the past year? Have you seen input costs in general come in a bit or stable? Just trying to understand how that side of the equation is working.
Linda Hasenfratz: Yes. I mean certainly we had supply chain issues over the last couple of years. So that has some impact in the segment. From a commodity perspective, we've seen some commodity prices settling back down a little bit. So that has an opposing impact. I would say, overall, we haven't seen a huge shift in just the last few months. We certainly saw some big increases over the last couple of years, which we've had to deal with. But I do think things have settled out a little bit better at the moment.
Michael Glen: Okay. And then with -- and then just moving to pricing in access equipment specifically, have there been any changes in pricing behavior among your peers? Like do you have any expectation that the business could become more competitive with pricing?
Linda Hasenfratz: Yes. I mean, it's always a competitive market in terms of pricing. So I don't expect that to change. I mean, everybody is chasing the business, so I don't see big changes. But I mean, it's always been competitive, and it will -- it will continue to be competitive pricing.
Michael Glen: Okay. And then just going back to the customer cost recoveries, are these, I think a similar question was asked before, but just trying to get some clarification. Is there a component of these costs in the quarter that were onetime in nature or it will persist through the balance of the year? Just trying to get some specific clarity on that.
Linda Hasenfratz: Yes. So I mean there wasn't anything significant that was a lump sum in the quarter or we would have indicated that. So this is piece price increases.
Michael Glen: Okay. And the cadence on free cash to think about for the rest of the year, would it -- I think in prior years, it does typically come in quite heavy in Q4. Would we expect a similar pattern for this year?
Linda Hasenfratz: I mean it's my expectation to see positive free cash flow in each subsequent quarter. Q1 is normally down just with -- usually, it's a big jump in terms of sales in Q1 compared to Q4. So there's a draw on noncash working capital. But subsequent quarters I expect to all the good positive free cash flow.
Michael Glen: Okay. Yes. No, I recognize that there's seasonality in the free cash profile for you. Okay, thank you.
Linda Hasenfratz: Thank you.
Operator: Your next question comes from Tamy Chen from BMO Capital Markets.
Tamy Chen: Hi good afternoon. Thanks for the questions. Sticking with the recoveries here, I was just wondering, are you -- as you look at the business now, I guess, particularly in Mobility with respect to recovery from customers, do you feel at this point you've caught up to the cost inflation you had been experiencing and absorbing last year and the year before or do you expect you still need to have continued negotiations and discussions to keep pace with your costs?
Linda Hasenfratz: Yes. I mean, we've dealt with many of the cost issues, but there's certainly ongoing commercial issues that we're dealing with customers on. It's a volatile time frame with volume shifting around and cost shifting around. So there is a more than normal level of commercial discussion activity over the last couple of years, and there's certainly still some ongoing discussions.
Tamy Chen: Okay, got it. And Linda, on the slide where you gave breakdown of purpose, special purpose equipment and what's flexible and re-deployable, helpful. The 16% to 84%, I mean, should we think about that, I think about your business that the 16%, is that largely reflecting the Dura-Shiloh business? And over time, would that also grow as your Giga casting facility comes online?
Linda Hasenfratz: Those figures actually don't even include Dura-Shiloh and Mobex. It's a small footnote, but it does note on the slide that we don't have all of their asset information in this analysis just yet. But -- so in the 15%, 16% is really more assembly equipment, I would say in the odd special purpose type equipment, which generally our machining casting, forging equipment is all fully flexible to do a wide variety of products. It's really more the assembly equipment that tends to be a little more special purpose. And I would say just notionally, Mobex and Dura would actually be quite similar. I mean, a lot of the equipment that they have, even on the Dura side robotics, well the equipment, all of that can be reallocated as well. But I don't have it in these numbers at the moment.
Tamy Chen: Okay, thanks for clarifying that. And on the Giga casting in Welland, I was wondering if you could talk about how you're progressing on that? I know you've been doing some of the traveling in Europe. Can you remind us of when that will start coming online? And did some of the recent OEM announcements of certain EV delays impact it? And do you have volume commitments from the one customer that you secured so far there?
Linda Hasenfratz: Yes. So I mean, obviously, a lot of EV programs have seen volume cuts or delays to launch, and our Giga project is, of course, impacted as well. So we are expecting some delay on that program. That said, as I say, any casting equipment is flexible. So obviously we're going to see what else we can find to utilize the equipment and then work with our customers around how do we manage the situation. I can't disclose specifics around contracts and with specific customers and projects. But I can tell you that, in general, around major investments like this or in the EV space. As I mentioned in my formal comments, we try to be quite careful in terms of mitigating our risk, sharing risk with our customers in a variety of ways. So that's certainly been the case.
Mark Stoddart: Yes. And it should also be noted that the capacity was coming in and being staged over time. We weren't going to a deadline where from start of production we had to have all the capacity in place. So we do have a ramp that goes over time with that. So any delay is not impacting the full capacity.
Tamy Chen: Okay, got it. If I could squeeze in one more here on Skyjack, it sounds like your two other large competitors are capacity constrained recently. I'm just wondering, do you find that some of your recent share gains have been partially helped by that situation there? Because I think they're opening additional capacity sometime next year, so I'm just wondering how you're thinking about that?
Linda Hasenfratz: Yes. I mean, it's always good to have competitors who are capacity constrained. So it's not playing a role potentially. But I have to say that we've been regularly growing our market share for our Skyjack products, which our customers love for their simplicity, reliability and high quality. That is a mandate of the design of the Skyjack that we have long utilized and that our customers really appreciate and I think that's why they're buying our products.
Tamy Chen: Great, thanks for taking my questions.
Operator: [Operator Instructions] There are no further questions at this time. Linda, please proceed with your closing remarks.
Linda Hasenfratz: Thank you so much. Well, to conclude this evening, I'd like to leave you with three key messages. First, we are thrilled to have met our long-term goal of reaching $10 billion in sales. It was a long time coming and really proud of the team for that. Second, we are also very pleased to have delivered such a strong quarter of double-digit top and bottom line growth and to be poised for the same for our full year again. And finally, we are particularly happy with the performance of our Mobility segment, which has bounced back from lows seen last year and is on the way back to getting back to normal operating margin level. Thanks very much, and have a great evening.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.